Operator: Good day, ladies and gentlemen, and welcome to the John B. Sanfilippo & Son, fourth quarter and fiscal 2009 year-end earnings conference call. My name is Fab, and I will be your coordinator for today. At this time all participants are in a listen-only mode. (Operator instructions). I would now like to turn the presentation over to your host for today’s call, Mr. Mike Valentine, Chief Financial Officer. Please proceed.
Michael J. Valentine: Okay, thank you, Fab. First, we would like to thank everybody for participating in our quarterly conference call for the fourth quarter and fiscal year ended 2009. Before we start, we want to remind everyone that we may make some forward-looking statements today. These statements are based on our current expectations and involve certain risks and uncertainties. The factors that could negatively impact results are explained in the various SEC filings that we have made the past, and then in the current year’s Form 10-K, which will be filed shortly. We encourage you to refer to these filings to learn more about these risks and uncertainties in our business. Starting with the income statement, the current quarter net sales increased by 1.8% or $2.2 million to $127.5 million, in comparison with net sales in the fourth quarter of fiscal 2008. Total pounds shipped to customers increased by 9.5%, pounds of almonds, cashews, fruit and nut mixes, mixed nuts, peanuts, snack mix, mixes, and walnuts shipped to customers increased in the quarterly comparison. Pounds shipped increased in the consumer, industrial, and export channels and decreased in the food service and contract packaging channels. The increase in net sales was driven mainly by the addition of a new customer, and increased shipments to an existing customer in the consumer channel. Increased supplies of walnuts fueled the increase of pounds shipped in the industrial and export channels. Fiscal year net sales increased to $553.8 million from fiscal 2008 net sales of $541.8 million. Total pounds shipped to customers decreased by 1.8%, decreases in pounds of almonds, pecans, peanuts, and walnuts shipped to customers were offset in part by increases in pounds of cashews, fruit and nut mixes, and snack mixes shipped to customers in the yearly comparison. Pounds shipped declined in all distribution channels except the consumer and contract packaging channels in the yearly comparison. The majority of the decline in pounds shipped occurred in the industrial channel particularly in respect to sales volume for peanuts, almonds, and pecans. The bulk of the decline in peanut sales volume was attributed to a conscious decision to buy fewer peanuts for shelling to reduce relatively unprofitable sales of excess peanuts to other peanut shellers and peanut oil processors. Fourth quarter gross profit margin increased to 16.0% from 14.6% from last year's fourth quarter as a percentage of net sales. This significant improvement in gross margin came mainly from improved margins on sales of almonds and walnuts, due to lower acquisition costs. Additionally, a significant improvement in manufacturing efficiencies in the Elgin facility in comparison to efficiencies in the fourth quarter of fiscal 2008 also contributed to improvement in gross profit margin. Fiscal 2009 gross profit margin again as a percentage of net sales, increased to 13.1% from 12.2% in the previous fiscal year. This – as was the case in the quarterly comparison, improved margins on sales of almonds and walnuts and in addition to improve manufacturing efficiencies and the Elgin facility led to the overall improvement, to gross profit margin in the year-over-year comparison. Fourth quarter 2009 total operating expenses as a percentage of net sales increased to 11.9% from 10.6% for the fourth quarter of fiscal 2008. Increases in spending on advertising, consumer marketing, broker commissions, and incentive compensation largely led through the increase in total operating expenses in the quarterly comparison. Fiscal 2009 total operating expenses as percentage of net sales, remained unchanged at 10.3% in comparison with total operating expenses for fiscal 2008. Increases in advertising and consumer marketing expenses were largely offset by the non-recurrence of restructuring expenses that were recorded in fiscal 2008. Interest expense in the current fourth quarter declined to $1.6 million from $2.5 million for the fourth quarter of fiscal 2008. The decline in interest expense in quarterly comparison was driven mainly by lower short-term interest rates, and lower total debt levels. Interest expense in the current year decreased to $7.6 million from $10.5 million for fiscal 2008. Again, lower debt levels and lower short-term interest rates also led to the decline in interest expense in the yearly comparison. In addition to the impact of making scheduled principal payments on long-term debt, lower inventory levels also contributed to a 29.1% decline, total debt levels during fiscal 2009. For example, the values of inventories on hand at the end of fiscal 2009 fell by $20.7 million or 16.3% from the value of inventories on hand at the end of fiscal 2008. The decline in the value of total inventories on hand came mainly from improved inventory management practices, as evidenced by a 21.2% decline in finished goods on hand in the yearly comparison. In addition to lower inventories, a return to profitability also fueled an increase in cash flow from operations from $29.6 million in fiscal 2008 to $43.4 million in fiscal 2009. In furtherance of our efforts to improve cash flow, we also continue to focus on controlling capital expenditures in the wake of the completion of the facility consolidation project, as capital expenditures declined considerably from $11.6 million for fiscal 2008 to $5.9 million for fiscal 2009. In the fourth quarter of fiscal 2009, we received new information from our customers in respect to their total cost associated with pistachio recall. Consequently, we reduced our estimate of the costs related to the pistachio recall, from $2.4 million net of the reduction and incentive compensation expense to $1.7 million, $700,000 reduction in recall costs is comprised of a $200,000 increase in net sales and a $500,000 reduction in administrative expenses, again net of the corresponding increase in incentive compensation expense. Mainly as a result of improved gross profit margin and lower interest expense, earnings per share diluted, improved to $0.37 per share from $0.25 per share in the quarterly comparison and improved to $0.65 per share from a loss of $0.56 per share in the yearly comparison. And now I’ll turn the call over to Jeffrey Sanfilippo, our CEO who will provide additional comments on our performance in the current quarter and fiscal year.
Jeffrey T. Sanfilippo: Thank you, Mike. Good morning everyone. Our fourth quarter and year-end fiscal 2009 results demonstrate that the decisions and efforts made by our management team and driven by our 1350 dedicated employees were the right ones for our customers, our shareholders, and our company. We accomplished a great deal this past year and returned to profitability in fiscal 2009. As Mike pointed out, we’ve reduced our debt level significantly. We limited capital expenditures and increased cash flow. At the same time, the company improved operational efficiencies, grew our sales with key accounts, and aligned our workforce to respond quickly to changing customer and consumer demands. We have made very difficult but necessary decisions over the past three years, to build a more competitive company and to execute initiatives that support our strategies for the future. I have commented several times on previous calls that our management team and our employees continue to focus on two key priorities to drive value in our organization. Profitable volume growth and operational efficiencies and we are succeeding. In addition our improved financial position allows us to devote more resources to become a stronger, strategic partner for our value–added customers globally. Over the last several months, our senior management team developed a five-year strategic plan and built a framework from which we intend to maximize the potential of our brands, our people, and our processes. The newly adopted strategic plan deepens our focus on resource allocation in several key areas. First, growth opportunities. The company will expand efforts in the consumer, food service, and international channels, while maintaining a strong base of innovative premium customers in the industrial and contract manufacturing channels. In the consumer channel, we are committed to grow our Fisher and private brands business in club stores and alternative channels, as well as develop a stronger presence produce departments. Additional resources will be allocated to the food service and international channels, as we pursue strategic partnerships and expand our product lines to meet changing customer needs, especially in the areas of health and nutrition. Product innovations. New products contributed nearly 4% of our total annual revenue in fiscal 2009. Many of these products were launched in the fall and winter this past year. New products include the Culinary Touch Baking and Cooking Blends, as well as a single service assortment under the Fisher brand for our consumer and food service channels. Line extensions to our successful Culinary Touch Salad Topping and fusion lines also were launched. And we are the first in that nut industry to use earth-friendly, sustainable film substrates to package our Fisher, Chef’s Natural Baking ingredient nuts and our food service two-pound product offerings. We also launched numerous products in our consumer channel’s private brand segment and in our contract manufacturing channel. Overall, we launched nearly 200 new products across all sales channels and a key strategy is to increase our speed to market for new product developments and be a better resource for our customers for innovative research and development. With the Fisher brand, we will allocate additional resources to expand our distribution of Fisher across multiple channels. Just this past year, we focused on the Fisher brand launching a multi-level advertising campaign for both our Fisher Culinary Touch Salad Toppings and our Fisher snack assortments. This messaging, partnered with aggressive trade programs, new customer business in our consumer, food service, and export channels, and relevant new product developments, has helped grow the brand in snack and baking combined over 16% in dollars and 24% in units this past quarter. And we saw a 3.2% increase in dollars and 3.7% increase in units for the past fiscal year. In the snack category, Fisher witnessed a substantial increase of 17.4% in dollars and 33% in units for the quarter. This unit growth is at a greater rate versus the last 12 and 6 months’ – its growth of 8.8 and 21% in units respectively. This positions the brand for future growth in the upcoming year and we continue to increase our promotional efforts for the brand in many markets and have witnessed great results. We are expanding our QA staff to include a microbiologist who will be responsible for internal audits of our manufacturing facilities and those of our vendors. In addition, we increased the frequency and requirements of our testing procedures of both raw and finished goods. A fifth key strategic focus is on continuous improvement and I will pass the presentation over to Jasper to make some comments about our continuos improvement programs.
Jasper B. Sanfilippo, Jr.: Thanks, Jeff. The company formally created a continuous improvement department to work on improvement projects in both manufacturing and non-manufacturing areas, as well as to create a culture within our organization that is always looking for a better way to do things. As a result, inventory management improvements led significantly to a 21.2% decline in finished good inventory dollars, while concurrently, the company improved and maintained our average service levels to our customer to that above 99%. As Mike stated earlier, improvements in our Elgin efficiency and our production lines has also led to improvements in our gross margins. We’ve also made improvements in material scrap accounts that relates to both Elgin production lines, as well as yield improvements in our shelling plant operations. We have also consolidated packaging with material suppliers, which has allowed us to further leverage our purchasing power, while increasing the overall quality of our packaging materials, which helped us improve the equipment efficiencies in our Elgin operations. Now I will turn it back over to Jeff.
Jeffrey T. Sanfilippo: Thank you, Jasper. To execute the strategic plan, another key focus and something that's extremely important is focused on people. Our company will continue to expand and diversify our management team and workforce with experienced leaders with multiple areas of expertise, we will be expanding our sales and marketing departments in the consumer, food service, and export channels, and we will expand our management team. Many of you may have seen the press release we sent in May announcing the hiring of Robert Sarlls to fill a newly created position of Vice President, Strategy and New Business Development. A critical part of our growth strategy is new business development, finding blue oceans, and meeting unmet consumer needs. Having specialized exclusively on the food industry for more 10 years, Rob brings excellent experience and leadership in mergers and acquisitions and will be instrumental in pursuing strategic alliances, acquisitions, and joint ventures to expand our market presence both domestically and globally. Now turning to results for fiscal 2009. Our net sales were $553.8 million for fiscal ’09 a $12.1 million or 2.2% increase over fiscal 2008. While pounds shipped decreased marginally in fiscal ’09, pounds shipped increased over 9% for both the third and fourth quarters compared to fiscal ’08. The increase in sales volume has allowed us to utilize the extra production capacity generated by our new production facility in Elgin. But there are still enormous opportunities and available capacity to grow. Let me comment on some of the highlights from our business channels. First consumer. Net sales in the consumer channel increased by 7.8% in dollars and 5.5% in volume in fiscal ’09. Private label consumer sales volume increased by 7.3% in fiscal ’09, primarily due to a significant new customer for the last half of fiscal ’09, expansion of business at select existing customers, and a general increase in sales of private label products due to current economic conditions. Fisher brands sales volumes increased 3.2% for fiscal ’09, compared to ’08, primarily due to an increase in Inshell peanut sales to a major customer partially offset by decreased sales to other customers. Food service channel. Net sales in the channel decreased by 5.1% in dollars and 4.1% in volume in fiscal 2009, compared to 2008. This decrease is primarily due to the effects of current economic conditions as consumers are spending less money at restaurants. However, our company was successful in establishing a partnership with DOT Foods to reach a new segment of food service customers, smaller restaurants and re-distributors, and we anticipate making up a portion of the volume declines going forward. We launched several new value-add items in the fourth quarter, which generated additional volumes of pounds shipped. Many of those products are distributed through DOT Foods. The company also introduced Fisher brand food service products in sustainable two-pound packaging and shipments just started during the first quarter of fiscal 2010. Our contract packaging channel, net sales increased by 17.5% in dollars and 6.7% in volume in fiscal 2009. The significant sales volume increase is primarily due to increased business to our major contract packaging customer who continued strong efforts to grow their distribution of snack nuts rolling out new items with a focus on product innovation and promotions. In addition, we were successful in building distribution in the club channel with another customer who launched several premium snack items. In our industrial channel, sales decreased by 14.7% in dollars and 23% in sales volumes. The sales volume decrease is primarily due to lower raw peanut sales to other peanut processors and oil processors, resulting in part from a planned reduction in peanuts shelled at our Bainbridge facility. Increased price competition from processors who are directly aligned with nut growers, a decrease in the availability of our supply of tree nuts for the industrial channel, and a decrease in demand in the industrial distribution channel for nuts. Our industrial customers retrenched and made the least number of new product launches this year as we have seen in a long time. However in spite of that, new product launches in the cereal bar segment represented new value-added sales for us of approximately $3.4 million made up of roasted cashews, honey roast cashews, roasted pecans, and roasted macadamias. International channel, pounds shipped in the fourth quarter increased 30%, mainly due to additional Inshell walnut business. In addition, several current customers expanded their snack product lines, which contributed to the growth. This included both consumer and industrial accounts in the Middle East, Japan, and Scandinavia. Fiscal 2009, year-end net sales in the export channel decreased by 5.6% in dollars, and 3% in volume, compared to fiscal ’08. The decrease in volume is primarily due to lower overall sales to our industrial export customers in part as a result of a reallocation in some commodities such as, shelled walnuts to our consumer and food service channels. In closing, although we accomplished many of our initiatives in fiscal 2009, there were a few projects that will be carried forward. We were unsuccessful in selling the original Elgin property we purchased in anticipation of the facility consolidation project. We will continue our efforts to market and sell this 85 acre property, but with the real estate markets as they are today, we are not too optimistic a deal will be completed in fiscal 2010. Customer development and retention is also a key initiative going forward. Although we had several successes and built great partnerships, we can and will become a better resource for, and provide additional value to our customers. When we evaluate growth opportunities, we will focus on select customers across all our channels who value products and packaging innovation. We will leverage our quality, industry expertise, and innovation, to grow our customer’s snack, baking and ingredient nut business, and our sales, marketing, and R&D teams will continue to utilize the insights we gain from customers across our channels to develop products to meet unmet consumer demand. We will maintain a disciplined approach to procurement, operations, sales, marketing, finance, and new business opportunities. As we become a more customer–centric organization, it is critical that we continue to maintain this discipline and stay focused on executing our initiatives and strategies. Our priorities remain clear, drive profitable value-added volume growth, continue to improve operations, and execute our strategic plan. We believe that with the strategies we have in place and through the hard work, commitment, and efforts of all of our employees, we are well positioned for the future. Management has worked hard to create a value-driven culture within our company and we will continue to provide value for our customers, our stakeholders, and our shareholders. I appreciate your participation in the call. And thank you for your interest in our company. I will now turn the call back over to Mike.
Michael J. Valentine: Thanks Jeff. At this time, we will open the call for questions. Operator, would you please queue up the first question?
Operator: Thank you. (Operator Instructions) And our first question will come from the line of Bruce Baughman from Franklin. Please proceed.
Bruce Baughman – Franklin Templeton Investments: Good morning.
Unidentified Company Representative : Good morning, Bruce
Unidentified Company Representative : Good morning, Bruce
Bruce Baughman – Franklin Templeton Investments: Congratulations on another nice quarter.
Unidentified Company Representative : Thank you.
Bruce Baughman – Franklin Templeton Investments: Obviously, the developments on the balance sheet are welcome and very nice to see. Would you anticipate a continued debt reduction during the coming year? And, do you have a particular leverage metric in mind that you consider an appropriate one?
Michael J. Valentine:
Bruce Baughman – Franklin Templeton Investments: Okay, is there a level of debt or some kind of benchmark metric that you can cite as a point place, where once want to arrive there you consider yourself appropriately capitalized?
Michael J. Valentine: Well I think, I think even the level that we have at the end of this fiscal year, I would characterize as appropriately capitalized. If we do reduce it further, that doesn’t necessarily mean that’s where we want it to stay. If there are good investment opportunities, both in say the Fisher brand or even other M&A activities, then we certainly would take advantage of that.
Bruce Baughman – Franklin Templeton Investments: Okay, and then just getting back to working capital for a moment. In your comments you suggested there is still some opportunity there. How much of that opportunity might come from continuing to improve efficiency at the plant versus other steps you might take?
Michael J. Valentine: I’ll let Jasper Sanfilippo, Jr., take this one.
Jasper B. Sanfilippo, Jr.: Well as Mike stated before, we still have improvements within the – managing of our inventories. As you know, we are vertically integrated in some of our major commodities and with respect to making improvements in our inventories there, and it is difficult although we will continue to look at that. Our main point priorities we are looking at all of raw materials purchased from outside vendors, as well as continuing to focus on our finished goods inventories. We have a substantial focus in terms of improving the efficiencies of the lines. We really can’t quantify how much improvement we expect in terms of cash flow or working capital, although we continue to increase the inventory turns of our finished goods, that is a direct result of having higher and more efficient lines because we can run finished goods orders much closer to ship to – you kind of have that double-whammy by increasing our efficiencies of our lines. We reduced our operating expense, but it also helps us turn our inventories quicker.
Bruce Baughman – Franklin Templeton Investments:
.:
Michael J. Valentine: Thanks Bruce.
Operator: Our next question will come from the line of Mike Traynor from Milwaukee Private Wealth.
Michael Traynor – Milwaukee Private Wealth Management: Hey, good morning, gentlemen.
Michael J. Valentine: Good morning.
Michael Traynor – Milwaukee Private Wealth Management: Congratulations on the nice quarter. Just two real quick questions. What was the capacity utilization for this quarter, and then for the entire fiscal year ’09? And how did that compares to Q4 ’08 and I guess fiscal year ’08 as well?
Michael J. Valentine: Well, I can’t really nail it down for the quarters, but in terms of year-over-year, as you know you saw our volume dip a little bit in terms of pounds shipped to customers. However our actual produced pounds mainly because we shifted to more value-added items, it was up in the end. And so just roughly speaking, I would say our utilization probably went from, roughly about 50% here in our Elgin facility to probably somewhere around 55%.
Michael Trainor – Milwaukee Private Wealth Management: Okay. Thank you.
Michael J. Valentine: Okay. Thank you.
Operator: (Operator Instructions) And our next question will come from line of [Peter Abramson]. Please proceed.
Peter Abramson – Private Investor: Oh, thank you. Nice quarter. I have a question on retail distribution. Do you have plans to distribute Fisher in grocery stores, or maybe in particular to the Chicago market? Are you in grocery stores in Chicago like Dominick's and so forth? And can you get in those stores? Or are you already in there on the private-label side?
Jeffrey T. Sanfilippo: Actually, this is Jeffrey. We do have distribution in the Chicago market and it is one of our core markets, obviously, since our corporate headquarters is here. We did have some success this past year in growing Fisher distribution in the Chicago market. We've invested additional marketing dollars in the market. In Chicago, just this past year, Fisher snack gained 2.2 points in unit share and 2.6 in dollar share for the last 12 months. So we have some successes in the Chicago market. And obviously, the grocery channel is extremely competitive. We've got strong competitors with Planners and Emerald and private brands in the marketplace. So we are very selective on the areas that we invest in, really focus more on product innovation in the Chicago market and really in grocers across the country.
Peter Abramson – Private Investor: Okay. And then in food service, I noticed food service was down. Where does the product end up? Is it Chinese restaurants, or McDonald's. I know you are in McDonald's and on their dollar menu they have those sundaes. So I didn’t know if that was driving some sales for you, and I don’t know if you could comment on the mix in your food service channel on where the product ends up?
Jeffrey T. Sanfilippo: Sure, what we’ve seen a shift in food service consumption, people we saw a shift from the white tablecloth type of restaurants to more of the fast food, McDonald's type of restaurants. And so we did see a lift in our granulated peanut products that we supply McDonald's, but really the bigger piece of that is, through companies like U.S. Foodservice and SYSCO, where we package both Fisher products for them as well as their own private brands, and that is going to restaurants around the country where they are using nuts in salads as ingredients in main courses and as well as desserts.
Peter Abramson – Private Investor: Okay. Any update on the leasing front for the office buildings?
Jeffrey T. Sanfilippo: We actually just have a new tenant that has just completed the contract and they will be a tenant in May of 2010. Its actually a University that will be coming onboard in our building. And we continue to actively seek new tenants for the facility.
Peter Abramson – Private Investor: Okay how many years is the lease or and how much space do they take?
Jeffrey T. Sanfilippo: It’s a 7 year lease, and its about 14,000 square feet of space.
Peter Abramson – Private Investor: Okay. As your ultimate goal with that building to get it leased up and then do some sort of sale-leaseback transaction at some point? Or do you have long-term strategy for it?
Michael J. Valentine: Our strategy is, this is Mike Valentine, the strategy is to get the space leased out by 75%, the other 25% is not developed, In addition to that, we do not have enough parking to lease out that space. It would be a considerable capital expenditure, probably somewhere in the neighborhood of about $10 million. We don’t believe the return on that is as good as the return we could get by investing in our own core business. So again, our goal is to get the building 75% leased out. Right now it’s pretty close to about 50.
Peter Abramson – Private Investor: Okay, thanks. Appreciate the update.
Michael J. Valentine: Thanks Peter.
Operator: And there are no further questions in the queue. I would now like to turn the call back over to Mr. Michael Valentine, for closing comments.
Michael J. Valentine: Again, on behalf of all my colleagues here, we would like to thank everyone for their time and interest in JBSS and we wish everyone a good day. Thanks again.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Have a wonderful day.